Operator: Good morning and welcome to the Solaris First Quarter 2025 Earnings Conference Call. All participants will be in lesson only mode. [Operator Instructions] Please note this event is being recorded. I would like to now turn the conference over to Yvonne Fletcher, Senior Vice President of Finance and Investor Relations. Please go ahead.
Yvonne Fletcher: Thank you, operator. Good morning and welcome to the Solaris first quarter 2025 earnings conference call. Joining us today are our Chairman and CEO, Bill Zartler; and our President and CFO, Kyle Ramachandran. Before we begin, I'd like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that we will make today. Such forward-looking statements may include comments regarding future financial results and reflect a number of known and unknown risks. Please refer to our press release issued yesterday, along with other recent public filings with the Securities and Exchange Commission that outline those risks. We also encourage you to refer to our earnings supplement slide deck, which was published last night on the investor relations section of our website under Events and Presentations. I would like to point out that our earnings release in today's conference call will contain discussion of non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in our earnings release, which is posted in the News section on our website. I'll now turn the call over to our Chairman and CEO, Bill Zartler.
William Zartler: Thank you, Yvonne, and thank you, everyone, for joining us this morning. Solaris's first quarter results reflect strong performance from both of our business segments. This was the second full quarter executing with our combined business units, focusing on generating strong free cash flow from our legacy logistic solution business and reinvesting that cash into our growing power solutions business. The strong performance from both segments and the continued benefits we are observing from integration highlight the complementary nature of these two businesses. I will begin with an update on our power solutions, commercial and growth strategy, including a discussion of several exciting developments announced in our first quarter earnings press release last night. In our prior update in late February, we announced that Solaris signed an initial six-year contract with a major customer for approximately 500 megawatts of power generation capacity to support a new data center campus, and that equipment to support this contract was to be capitalized within a joint venture. Last night, we announced that the commercial contract has been upsized to approximately 900 megawatts for an extended initial tender of seven years. We also announced that we have closed on the joint venture agreement under which Solaris will perform as manager and power operator of the joint venture. The structure of the upsized JV remains unchanged from prior communication, with Solaris owning 50.1% of the partnership and our partnering customer retaining 49.1%. We are excited about the opportunity to partner with and provide primary power for a fast-moving customer who is one of the leaders in the evolving artificial intelligence industry. We believe this joint venture demonstrates the value Solaris provides as a partner in providing reliable power solutions that extend beyond temporary bridge power needs. The extended tenor of the upsized commercial contract improves earnings visibility of our power solutions business into 2033. The average tenor in our power solutions contract book now exceeds five years as compared to about six months less than a year ago when we announced the acquisition of MER. This upsizing of the contract and JV resulted in the effective full commitment of our power fleet at a time when sector power demand continues to grow with numerous opportunities in our commercial pipeline coalescing around the second half of 2026. Given this backdrop, we secured approximately 330 megawatts of additional generation capacity from our manufacturing partner to continue to service the needs of new and existing customers. This capacity was not easy to obtain as the OEM supply chain has gotten progressively tighter since our initial orders. We expect to take delivery of a majority of this most recent order in the second half of 2026, which results in a new pro forma total capacity of approximately 1,700 megawatts operated by Solaris, of which we will own approximately 1,250 megawatts on a net basis after giving effect to our 50.1% interest in the joint venture. On the new pro forma delivered total fleet of 1,700 megawatts, we remain approximately 70% contracted with around 500 megawatts of open capacity to bid into the growing number of opportunities we continue to pursue. These opportunities include a combination of data center opportunities with new potential customers, projects for energy production and processing facilities, and various other industrial applications. The data center opportunity presents both unique challenges and exciting prospects. We continue to receive inquiries for larger applications, which render the traditional methods of power procurement and reliability planning a challenge for those prospective customers. A large data center used to be under 50 megawatts and would rely primarily on grid power with a bank of reciprocating generators as standby backup. It is becoming increasingly evident that the largest data centers will tap a variety of sources for their primary, secondary, and emergency backup power. Modern data centers have grown to several hundred megawatts with leading edge capacity surpassing 1,000 megawatts. Managing loads at this scale is challenging for anyone, including grid operators. By co-locating generation on site as part of their primary power mix, power consumers gain the ability to diversify their energy source and to control some of their own primary and built-in backup power that can operate either independent or in conjunction with the grid. By using best-in-class gas turbines and associated equipment such as SCRs, customers gain additional benefits of power density, capability to modularly scale, and relatively low emissions and water use profiles. Under the Solaris Power-as-a-Service model, these benefits can be provided at a compelling all-in cost often competitive with the delivered price of baseload grid power. Considering total cost of ownership, our model is akin to a fixed-capacity payment and with a variable commodity price input via the natural gas that is paid for by the customer. This results in a significant portion of our customers' costs being hedged for the duration of the contract. We can remain economically competitive with the grid, offer visibility to long-term power costs, and provide built-in backup through redundancy and reserve margin. We believe time-to-power, delivered cost, and surety of supply were the primary drivers behind our customers' desire to enter into the long-term partnership with Solaris. For customers that take a similar longer-term strategic view to solving power constraints but do not have the expertise or bandwidth to manage a large co-located power plant, Solaris' Power-as-a-Service model provides a solution that is evolving with the market need. Increasing regulatory challenges for data centers are also highly supportive of the Power-as-a-Service theme. The notion of bring-your-own-power is real as evidenced by growing recognition from grid regulators and operators regarding the limited availability of baseload power for new additional large loads. By co-locating generation off-grid in island mode, customers can accelerate time-to-power and benefit from true, uninterruptible power. We'll discuss how this approach also enhances the resiliency of their operations and may eventually contribute to overall grid resiliency as well. Turning to our logistics segments, Solaris Logistics had a very strong first quarter with system activity up over 25% sequentially as we benefited not only from the seasonal rebound but also from new customer wins and continued adoption of our top-fill system. Our advanced technology offering continues to position us as the partner of choice. Our silo systems have the ability to handle increasing SAN throughput as completion intensity and in-turn efficiencies continue to accelerate. These increased efficiencies have contributed significantly to the success of our top-fill system as well, which was effectively sold out during the first quarter. During the quarter, approximately 75% of our locations were equipped with both our legacy SAN silo system and a top-fill system. This natural cross-selling has resulted in a substantial increase in Solaris' earnings capacity, effectively doubling our earnings potential at the individual well site level. As we look ahead, we have conviction in the relative stability of activity levels during the early part of the second quarter, resulting in no changes to our prior second quarter guidance. We are, however, beginning to observe some operators respond to the recent commodity price softness by delaying jobs or reducing the number of fractures expected in the second half of the year with an oil-directed basis. During the first quarter, we also continue to harvest significant free cash flow generation resulting from the fleet investments made in prior years. Our early mover advantage in the complete electrification of our logistics solutions fleet continues to provide a commercial advantage as our fleet is already well-positioned for the ongoing electrification trend that allows us to redirect cash to reinvest in our growing power solutions segment. We also observe unique synergies between our two segments as we continue to integrate our businesses. We will continue to have hiring needs in the power solutions segment for some time, enabling us to continue to cross-train many of our logistics field technicians to fulfill this visible need with trusted in-house expertise. Our efforts to integrate our engineering, supply chain, and manufacturing functions also continue to progress. Meeting the air permitting requirements in certain jurisdictions for multi-year fixtures requires investment in selective catalytic reduction emissions control systems, or SCRs. We have collaborated with our customers to select the best available control technology and are in advanced stages of planning manufacturing assembly of some components of the SCRs in our manufacturing facility located in Central Texas. Bringing some of this manufacturing in-house is expected to lower costs and potentially mitigate exposure to tariffs, both of which help improve our returns on capital. In-house manufacturing also provides us with greater control over product quality and design. We are excited about the first quarter results from both business segments, as well as the continued momentum and visibility we are seeing in the Solaris Power Solutions segment. I am proud of the exceptional team and innovative culture that we continue to build. We are focused on maximizing shareholder value through growing the company without sacrificing the strong financial profile of our business. With that, I will turn it over to Kyle.
Kyle Ramachandran: Thanks, Bill, and good morning, everyone. I'll begin this morning by providing additional details on our updated order book, the associated growth capital spending, and our latest thoughts on financing. As Yvonne mentioned, please refer to our earnings supplement slide deck on our website. Following the upsizing of the commercial contract and joint venture to approximately 900 megawatts, our power fleet had limited open capacity. To ensure we continue to meet accelerating market demand during the quarter, we secured an incremental 330 megawatts of 16.5 megawatt turbines. This order brings our total expected operating fleet to approximately 1,700 megawatts. Pro forma for all deliveries, more than 90% of the resulting fleet will consist of 16.5 megawatt and 38 megawatt units, which we think results in a fleet that offers an attractive level of power density while still allowing us to be responsive to our customers' needs for scaling and flexibility. We expect to take deliveries under this latest order over the second half of 2026, with full effective deployment of our fleet in the first half of 2027. We are excited to have finalized this joint venture with an existing large-scale AI client. The near doubling of power generation capacity to 900 megawatts and the increased tenor to 7 years from 6 years are positive indications, in our view, of both market demand for these solutions combined with the confidence of our customer has in Solaris' ability to execute over the long term. The extension and contract tenor brings our average contract tenor to approximately 5.5 years on a blended basis, compared to approximately 4 years last quarter and approximately 6 months when we closed on the MER transaction eight months ago. The revenue from this contract is also subject to a take or pay provision, further solidifying contracted earnings visibility. The partnership has also secured its own financing to support this growth. We recently executed a term sheet and are negotiating definitive documentation for a senior secured term loan facility of up to $550m to support roughly 80% of the forecasted CapEx requirements of the JV. Solaris' first quarter capital expenditures included its cash equity investment into the JV. Our JV partner will contribute its pro rata share of cash equity in the second quarter of 2025. We expect the JV's debt facility to fund the remainder of the JV's capital needs. The ownership structure of the JV remains unchanged relative to prior disclosure. We will own 50.1% of the assets and will operate and manage the equipment on behalf of the JV. The net impact to our fleet ownership results in approximately 1,250 megawatts owned by Solaris out of a total operated fleet of approximately 1,700 megawatts. For purposes of financial reporting, we will consolidate the results of the full partnership with our customers' equity portion of earnings reported as non-controlling interest. Including our latest order of 330 megawatts, we believe we will have enough power-dense power generation equipment available for future long-term contracting with customers for deliveries beginning in the second half of 2026. The pace and trajectory of our ongoing commercial discussions gives us confidence that we will contract the remaining capacity. At full deployment, we see potential for the total company to generate $575 million to $600 million of annual run rate adjusted EBITDA on a consolidated basis. Accounting for the economics of the joint venture structure, we expect annual run rate adjusted EBITDA net to Solaris of approximately $440 million to $465 million. These estimates consider the current contract book and assume a 3-to-4-year payback on the currently uncontracted equipment on order today. Turning to recap our first quarter 2025 performance and our guidance expectations for the next two quarters. During the first quarter, Solaris generated total revenue of $126 million, which reflected a 31% increase from the prior quarter due to continued activity growth in power solutions, as well as growth in logistics. Adjusted EBITDA of $47 million represented a 25% increase from the prior quarter. Power solutions contributed 55% of our total segment adjusted EBITDA and is on track to contribute more than 80% of our consolidated adjusted EBITDA after our on-order fleet is deployed. During the first quarter, Solaris power solutions generated revenue from approximately 390 megawatts of capacity. For the second quarter of 2025, we expect activity as measured by average megawatts earning revenue to increase 13% sequentially to 440 megawatts. This increase is being driven by increased power demand from our customers, which we are meeting using selective sourcing of third-party turbines. For the third quarter, we expect average megawatts on revenue to increase by 18% to approximately 520 megawatts. In our logistics solution segment, our guidance for fully utilized systems remains unchanged at approximately 90-95 systems in the second quarter. We expect profit per system in Q2 to be in line with Q1 levels. For the third quarter, we expect oil-directed activity could soften should commodity prices remain at or below current levels. We expect approximately $7 million of corporate or unallocated expense in the second quarter, which reflects a more normal run rate. First quarter reflected a cash settlement of stock-based performance units granted in 2023 and 2024, as well as higher employer taxes associated with investing in restricted stock that should not repeat in the remaining quarters of 2025. These items result in adjusted EBITDA between $50 million and $55 million in Q2 and adjusted EBITDA between $55 million and $60 million for Q3. For more detail on the guidance and other corporate modeling items, such as interest expense, depreciation and amortization, tax rate, and share count to use for modeling purposes, please refer to our earnings supplement slide deck. Before we turn the call over to the operator for Q&A, I'd like to spend a couple of minutes addressing the potential impact of tariffs on Solaris. While the ultimate tariff impact is still unknown and is evolving frequently, we believe several factors help mitigate any material impact to our business. Starting with the power solutions business, most of our planned growth capital spend is allocated for new turbines. Our primary turbine vendor already manufactures in the U.S. and has a well-established, flexible supply chain. Pricing for the majority of our current orders is fixed, resulting in no material impact from tariffs. On our recent 330-megawatt order, we believe the maximum potential tariff impact is limited to 5% of the total cost and then only to the extent tariffs are actually incurred. To the extent that higher capital costs are realized, we expect an ability to pass those along to customers and maintain our targeted returns on capital. Bill mentioned we are planning to manufacture certain capital items, such as components of the SCRs for emissions control, in-house at our existing manufacturing facility in Central Texas. This initiative aims to reduce costs and enhance overall returns, which could further buffer any potential tariff impact. In logistics solutions, our large capital program has concluded and we are now in maintenance mode for those assets. Since we manufacture this equipment ourselves, we can manage repairs and maintenance domestically at our facility or directly in the field. Many of the inputs required to support these systems come with relatively little expense, and we already source most of these items within the U.S. We remain excited about the growing opportunities for Solaris. We continue to focus on generating strong returns on invested capital as we build out our power solutions business while maintaining the strong cash flow generation from our logistics business to further enhance our attractive financial profile. With that, we'd be happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Stephen Gengaro with Stifel. Please go ahead.
Stephen Gengaro: Thanks. Good morning, everybody, and thanks for all the detail. I think, two for me, what I'd start with, maybe Bill, is when we think about the uncontracted assets that are scheduled to be delivered over the next several quarters, can you just give us a sense for kind of the conversations you're having and how we should sort of think about the end market demand for those assets?
William Zartler: I think we wouldn't have ordered it if we didn't believe that there's significant demand, and those start delivering about a year from now. We have a period of time and lead time to develop the projects that these go with it. So we're in numerous discussions from additional oil field applications to some data center, medium bridge. I think that the design of the large power generation in combination with a set of smaller generation as these scale up is a pretty unique thing that seems to be happening now where we can marry up with larger generation capacity, and they need $200 million to $300 million on their way up while they build out a larger facility, and this stays in as permanent backup as part of the total generation capacity. And the oil field continues to be short, too. We see applications in West Texas and New Mexico, and we're seeing 3-to-6-year contracts out there where it looks like we're going to have some permanent need to build midstream facilities in other places with power.
Stephen Gengaro: Great. Thank you. And the follow-up I had was when we do sort of the simple math on kind of EBITDA per megawatt, it was a little lighter than we thought in the quarter, but the guidance suggests it's kind of rising. Is that just related to timing of asset deliveries as opposed to kind of pricing? Could you just kind of give us a sense for that dynamic and how that evolves?
Kyle Ramachandran: Yeah, I think, Stephen, when we look at the dollar-per-megawatt economics, it's roughly in line with where we've guided people over the medium to long term. We're obviously ramping the business here, so we have some lumpiness, if you will, as we ramp up the costs into the business to help support such a large fleet expansion. So, we'll see that episodically from time to time. In the first quarter, we did get the full impact of the 2-year contract that we have in place at the first data center. In the fourth quarter of last year, most of that period had the much shorter 6-month contract, which was at a higher rental rate. So, I think dollar-per-megawatt sort of implied returns are starting to smooth out to where we expected, call it, 3-to-4-year paybacks. And then the small sort of acute impact, I would say, is along the lines of some of the assets that we are re-renting. So, as we've talked about previously, we have an ability to put more equipment to work than we have on balance sheet today as we're waiting on our delivery. So, we've gone out and procured some assets that have been on the sideline with some parties with smaller fleets, and we've been able to put those to work. So, that's having a little bit of impact here in the short term. But as we look at sort of the fundamental economics of the business, very robust. We're seeing projects scale up. When we see projects scale up, we're benefiting from scale there. So, going from 500 megawatts to 900 megawatts in the second data center fixture is going to be, on a net basis, positive as we look at returns.
Stephen Gengaro: No, great. That's good color. Thank you.
Operator: Thank you. The next question comes from Derrick Whitfield with Texas Capital. Please go ahead.
Derrick Whitfield: Good morning, all, and congrats on the formalization of your JV. With my first question, I wanted to focus on the air permit and think about your prepared remarks and your JV partner's commentary last Friday. Is it reasonable to assume that your client should be able to attain an air permit within a reasonable amount of time, given that the facility is one of the lowest admitting facilities in the country?
William Zartler: Yeah, I mean, our customer is following all the EPA guidelines. We've assisted in providing equipment information and information around the Cadillac Reformers that we're adding to the tail end of this. And we see no reason to believe that it's not in full compliance with the law, and they'll get the permits associated with building the facility out.
Derrick Whitfield: Perfect. And then maybe just leaning on the SCR side, could you speak to the value of this offering to your clients, and if it contributes to a higher rate, or is it a cost of doing business?
William Zartler: SCR is truly a cost of doing business. We're lowering the emissions profile of this equipment, and so that's just additional capital and a minor amount of operating cost. We rent that equipment in the same kind of fixed fee basis and pass through some of the operating costs.
Derrick Whitfield: Perfect. Thanks for your time and your responses.
Operator: Thank you. The next question comes from Derek Podhaizer from Piper Sandler. Please go ahead.
Derek Podhaizer: Hey, good morning, guys. Just kind of a nuanced question. Just looking at the deck, the brick of the portfolio of power, it looks like there's about 1.1 gigawatts contracted to data centers and JVs at 900 megawatts. Is that about 200 megawatts difference? Is that with the first data center complex? Just trying to think about will that eventually get into the JV, or will those megawatts eventually have to find a new home? Just maybe some thoughts around that.
Kyle Ramachandran: Yeah, that additional capacity is sitting at the first data center that we have with the client. It's not intended to go into the JV at this stage, and I think those units have now been running 6-9 months and will continue throughout the term of the contract, so the notion of dropping them into the JV will likely create some complexity. I don't suspect that those will come out, but the client has filed a long-term Title V air permit for that location as well to keep the units that we have embedded in this guidance there in effect in perpetuity.
Derek Podhaizer: Okay, that's helpful. And then just on the supply chain, your comments around it getting tighter. You're able to get these 16.5 megawatts, the back half of 2026. How are you able to get those? Are you able to switch places in line with somebody else? And then maybe what's the tightest part? Is it the 38 megawatts? If you ordered a new one today, how long are those lead times currently?
Kyle Ramachandran: Yeah, with respect to the larger units, our understanding is those are effectively sold out, and we've been the largest order with the LEM there. And at this point, it's a newish product for them, so they're taking a somewhat conservative position as far as additional orders there. And so what we were able to secure were additional capacity on the 16.5-megawatt units. I can be candid with you that it was quite difficult to secure and that there were a lot of back and forths and our willingness to move quickly and boldly as we've continued to do throughout this process to secure that capacity. So, it was an exercise and a bold move in a relationship where we've done exactly what we've told them we were going to do, and we were able to reach a mutual agreement that worked for both parties on that. But it continues to be a very tight supply chain with respect to generation capacity.
Derek Podhaizer: Great. Appreciate all the color. I'll turn it back.
Operator: Thank you. The next question comes from Thomas Meric with Janney Montgomery Scott. Please go ahead.
Thomas Meric: Good morning. Thanks for the time, team. A couple for me. First on the kind of contracted versus quote-unquote spot mix of assets, curious what you think is the ideal mix. And then specifically with regards to spot opportunities, how should we think about those EBITDA margins being in line with what's on the P&L now per power, or are there reasons why it's above or below that number? And a few follow-ups for me.
William Zartler: I think there's a difference between targeted spot equipment and what's uncontracted today that may go into a medium or longer-term contract. So, spot market opportunities where we would put something to work, and most of what we've done has been six months or greater. So, spot is a different term in a lot of different industries. Six months is medium-term in some industries. We're seeing some of that work, I think the fleet will be 5-10% available for emergency situations in place where there is additional outsized margins, especially on the smaller units. As we're addressing these larger loads, the 16.5 megawatts and the 38-megawatt units, we see those going on medium to long-term contracts, and most of that will be used that way.
Kyle Ramachandran: Yeah, recently we've had inbounds with respect to emergency response activity and our ability to meet that demand. Today, we don't have that capacity, but as Bill alluded to, at some point as the fleet matures, that's probably capacity that sits in the fleet that we're able to meet that market demand.
Thomas Meric: Helpful. And then also kind of a longer-term question, but I'm curious if you're having conversations with customers or if you can quantify your ambition for owning larger stationary turbines for some of these almost 5-10-year contracts. Is that something that's being discussed or too early?
William Zartler: We've evaluated a lot of options and talked to many providers and folks that operate frame units and 6,000s and the like from 5 megawatts to 500-megawatt equipment. And so, we're in the mix discussing, as we mentioned in the prepared remarks, what the ideal power supply looks like for some of these large loads. And it will end up being a combination of multiple things. It may even be nuclear in a few years. So, I think as you look at how the power supply develops for these large loads and how those large loads are going to be permanent and what that looks like, I think the small, medium-sized turbines that we provide are going to be a part of that mix in the long run.
Thomas Meric: Helpful. And last one for me. I appreciate the third question here. Just on the batteries that you're using for managing voltage, I'm curious if you're seeing any cell degradation that you can provide color around and maybe even just a timeline on when those batteries would need to be replaced or just kind of any color about what you're seeing operationally with those batteries.
William Zartler: Yeah. We're not actually operating batteries. Our customer is running those kind of facilities.
Thomas Meric: All right. Thank you.
Operator: Thank you. The next question comes from Jeff LeBlanc with TPH. Please go ahead.
Jeff LeBlanc: Good morning, Bill and team. Thank you for taking my question. I just had one. I was curious if you could talk about how the success with your current client is influencing negotiations for future data center contracts with potentially new customers and how those conversations are ongoing? Thank you.
William Zartler: I think that the conversations with other providers recognize that what we've done and continue to do for our current customer has been extremely high level of service, extremely rapid response, building out and operating a reliable power plant very, very quickly. And I think that's part of our reputation from the oil field side of this business to this power side of the business. And I think that's one of the things that we will keep up, which is creative addition of manufacturing, additional IP as we build out these facilities and how that works and how we provide a service that is second to none on rapidly deploying power for the long term.
Jeff LeBlanc: Awesome. Thank you very much for the color. I'll hand the call back to the operator.
Operator: Thank you. The next question comes from Don Crist with Johnson Rice. Please go ahead.
Don Crist: Good morning, guys. Hope you're all doing well. I wanted to ask about the discussions with the customers outside of your current data center customer. How big would those jobs be? And what I'm driving at is, could you have two or three total customers and soak up all the capacity that you have on order today? Or are those jobs kind of smaller 50-megawatt kind of jobs, or are they bigger?
William Zartler: If you're focused on the data center customer market, they're all going to be larger facilities. And they're scaling into this, so it's a matter of how you scale in from 50 megawatt to 500 megawatt or 50 megawatt to 1 gigawatt and in that case at which they need to build their halls and load their chips. We design those with them, I think the other part of the business where we're seeing other industrial loads and midstream and energy businesses, those tend to be in the 10 megawatt to 75 megawatt size.
Don Crist: Okay. And one on the oilfield, if I can. You outlined a little bit of weakness that you're seeing in the third quarter. Is that kind of dependent on oil prices falling from here? Or in a $61 or so oil price, do you see that demand falling as we move kind of through the back half of the year?
William Zartler: Yeah, I think that what we've seen out of the oil company so far in conversations with customers, at this price level, you will see some incremental oil frac fleets dropped in certain markets. So, I think at $61, you're going to see a bit of a slowdown in the completions market over the course of the next quarter or two.
Kyle Ramachandran: Some of it is people have just become faster and faster, Don, and some of it is just, it's literally just pulling a little bit of gas off the pedal. So, there's just a rate of speed that there's some conservatism likely to happen.
Don Crist: Okay, I appreciate the color. I'll turn it back. Thanks.
Operator: Thank you. The next question comes from Bobby Brooks with Northland Capital Markets. Please go ahead.
Bobby Brooks: Hey, good morning, guys. Thank you for taking my question. So, I wanted to double click on being able to secure the additional 330-megawatt order of the 16.5-megawatt units by, I think what you termed it as by moving quickly and bold. I was just curious, do you think this is a repeatable process? Maybe said differently how do you think of securing more megawatts that could be used over the next two years?
William Zartler: Yeah, I think you're pushing the tail end of the 2-year time frame now in terms of availability, and it's about getting in line, making sure that we can line up the customers for the equipment and be ready to make some of those decisions. But it's now out beyond the period that we're looking at ‘27-‘28. I think you can listen to some of the other larger OEMs in terms of what they're saying their supply chains and delivery outlooks look like, but most of it is then and beyond.
Bobby Brooks: Got it. I just want to confirm that the 330 megawatt that you did this, that you just announced, that was actual spare capacity that your OEM partner had, or was that somebody dropping out of the queue and you stepping in there?
Kyle Ramachandran: No, it was open capacity. It wasn't a function of somebody dropping an order, but I think there were others in line, if you will, such that we needed to move at a pace with which we did.
Bobby Brooks: And then, so the increase in the megawatts and the contract tenor with the JV is great news, but at the same time, my sense was you wanted to get some more customer diversification with that open capacity. So with that in mind, I just wanted to hear how you guys gained comfortability in increasing the megawatts to this JV, and then how are you thinking about deploying that, I think it's 380 megawatts of open capacity now?
William Zartler: I think in terms of upsizing the JV, I mean, they have proven to be a very good customer. We have a strong contract with increased tenor associated with that, and believe very creditworthy. And this is a core part of what they do, and we believe we're helping make them successful by delivering them power when they need it at the right locations. And so I think that said, there is a little lack of customer diversity, but at the same time, I think we have a great customer and a leader in what they're doing, and we're helping provide them grow. And they seem to make decisions fairly quickly and seem to be doing the right thing there. Are we working on diversification? Yes, we ordered the second order looking at driving some level of diversification in the business outright. And we've secured some additional oilfield business in the meantime. It's just not-- these are an extra turbine or two here or there, it’s not the same kind of scale, but we are diversified.
Kyle Ramachandran: Yeah, we've had to meet a pretty unique challenge with a customer that's moved faster than anyone else in the space at a scale that no one has really reached at this stage. So that's been our challenge. But coming into this year, we had really two distinct goals within the power business, which we’re securing extended tenor and diversification in the customer base. And clearly from a tenor standpoint, we've significantly changed the outlook into this business going from 6-month contracts to 7 years. So that's a real significant change in the scope. And then to the point on diversification, we are working very hard at that. We've got a long list of potential customers that we're working on projects that will require this open capacity. So that's really what drove the need to secure additional capacity.
Operator: Thank you. And the next question comes from Sean Mitchell with Daniel Energy Partners. Please go ahead.
Sean Mitchell: Good morning, guys. Hey, Kyle or Bill, just is there a big difference in the margin profile between data center power and your other industrial? I mean, I know the terms of the contracts are probably longer on data center, but is the margin profile drastically different?
William Zartler: No, not necessarily on a pricing perspective. I would say that the scale gives us a little bit of operating leverage for the larger jobs. So we deliver our maintenance programs and all the kind of fixed variable costs, if you will, of keeping their filters clean and doing all those kind of things would be a little higher out in the oil field than they are in a more urban environment data center. So there's probably a little net higher margin from scale, but the pricing itself is very similar.
Sean Mitchell: It's based on tenor. Got it. Thanks, guys. That's all I got.
Operator: [Operator Instructions] We have a follow-up question from Stephen Gengaro with Stifel. Please go ahead.
Stephen Gengaro: Thanks. Thanks for taking the follow-up. On the logistics solution side, I had two quick questions. One was you mentioned in the press release adding new customers. I was curious if there's any color you could add to that, and is it related to E&P consolidation? What is your outlook for the ability to kind of outgrow the market or outperform the market?
William Zartler: Yeah, I think the new customers have really been driven by our new technology and the desire to go faster. And so I think if you begin to look at folks talking about, simul-trimal, quad-fracs, who knows where this ends, but effectively continuous pumping. And when you're going to attack that market, having the supply chain locked with our equipment and the ability to put the top fill in larger truckloads really makes that more efficient. So I think we're seeing it driven by our equipment providing the solution for these larger, more efficient fracs.
Stephen Gengaro: Thanks. Is that taking share from containers or is it taking share from other silos?
William Zartler: More likely containers because your loads are much smaller and the handling function on the well side is a little more complicated.
Stephen Gengaro: Okay. I think that's all for me. Thanks for the details.
Operator: Thanks, Steve. Thank you. The next question is from Bobby Brooks with Northland Capital Markets. Please go ahead.
Bobby Brooks: Hey, thanks for taking the follow-up. Just the last question for me. I'm focusing on CapEx. On your March deck, you guys had given consolidated CapEx was guided toward to $165 million. Obviously, you ended up only doing $144 million in the quarter. So I was just curious of what's the driver of that. My understanding is that turbine pavements are pretty set in stone. So I was just curious where kind of the savings came here? Thank you.
Kyle Ramachandran: Yeah, I wouldn't call it savings. I don't think the aggregate numbers have changed. It's just kind of a function of timing. And when we come out with guidance, it's really a function of our estimate of when we're going to receive invoices. And that does move around from time to time for various reasons with the OEM. So nothing material changed there, just a function of timing.
Bobby Brooks: Makes a lot of sense. Congrats on the great quarter. Thank you, guys.
Operator: Thank you. The next question is from Jeff LeBlanc from TPH. Please go ahead.
Jeff LeBlanc: Thanks for the follow-up. I just wanted to see if you could provide more color on the end markets of the industrial opportunities? I think everybody's somewhat familiar with the applications for midstream and E&P in the oil field. I'm just curious if you could provide a little bit more color on the end markets for industrial opportunities? Thank you.
William Zartler: As we bring manufacturing back, and I think that's one of the country's targeted goals, we're seeing it in metals manufacturing. Anything that's a high-power usage, high load is struggling to figure out how to get those loads approved into the grid. So we're seeing it from export facilities for natural gas liquids and LNG all the way across to some metals manufacturing, vending, and some processing. We're seeing it from air processing businesses where you're trying to make hydrogen and oxygen and do that, or high load compressors. So there's a whole host of various other industrial applications that we see are going to need large loads of power, and it will look very similar. The base load is critical for those, and they're looking at what's the right solution for them.
Jeff LeBlanc: Okay. Thank you very much for the color, and I'll hand the call back to the operator. Thank you.
Operator: Thank you. We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Mr. Bill Zartler for final closing remarks.
William Zartler: Thank you, everyone, for joining us today. We're obviously off to a strong start in 2025. As we see our rapid growth through this noisy environment, and our entire team is excited about the opportunities for the company, we have the right business with the right people and culture that will help us continue to deliver value to our shareholders and our customers. I'd like to thank all of our employees, customers, and suppliers for their continued partnership in making Solaris a success. Thank you all, and we look forward to sharing our progress with you in a few months.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.